Operator: Good day and welcome to Jumia March Quarter 2019 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Safae Damir, Head of Investor Relations for Jumia. Please go ahead.
Safae Damir: Thank you. Good morning everyone. Thank you for joining us today for our first earnings release with post-IPO. With us today are Sacha Poignonnec, co-founder and co-CEO of Jumia, and Antoine Maillet-Mezeray, CFO. This call is also being webcast on the IR section of our corporate website. We will start by covering the safe harbor. We would like to remind you that our discussions today will include forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. In addition, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the risk factors section of our final perspective filed in connection with our initial public offering on April 15, 2019. In addition, on this call we will refer to certain financial measures not reported in accordance with IFRS. You can find reconciliations of this non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release which is available on our Investor Relations website. With that, I'd hand over to Sacha.
Sacha Poignonnec: Hello everyone. It's a pleasure to speak with you today, and tell you more about Jumia and our first quarterly results. We reached a major milestone for our company in Africa on April 12th when we began trading on the New York Stock Exchange. We know that this is the beginning of the journey, and we look forward to many more earning reports with you over the coming years. We are of course aware of a recent opinion piece that was published. We would like to say upfront that we completely stand by our prospectus, our audited financials and the risk factors. We're very excited about the future and our prospects. We will not be distracted from executing on our strategy, and carrying out our mission by those we seek to create doubts, to profit at our expense, and that of our long term stakeholders. If there are any follow up questions, we are always available. Before getting into our great Q1 results, we’d like to take this opportunity to remind you of our mission, who we are today, and how we plan to build on the success of Jumia. If you'd like to turn your attention to page five please, I will start with our Market Africa. We created Jumia with a passion for Africa, a deep conviction in the strong potential of this market, and that technology could have a very strong and positive impact. Africa is a huge continent with a large commerce market of 1.2 billion people, 450 million Internet users, which is more than half of China. 17 million SMEs and merchants together spending $4 trillion, and almost entirely offline. Moving on to Page six, in Africa, Distribution of goods and services is very challenging in the offline world. Therefore technology and e-commerce can create a lot of value for both, sellers and consumers. For sellers, e-commerce offers internal leverage to reach consumers effectively, and gather insights. For consumers, e-commerce represents an opportunity to gain access to a very large selection of goods, shop at good prices, and often save a lot of time. We are convinced that in Africa, e-commerce and technology offer a great solution for sellers and e-commerce to connect and transact very effectively. This is why we have chosen this mission to help the consumer’s access goods and services in an effective way helps sellers distribute their goods and services in a more effective way, and create positive and sustainable impact across the continent. Turning to Page seven; to make this mission possible, we built Jumia, which is the most comprehensive e-commerce platform in Africa. Our platform consists of our marketplace where the sellers and the consumers can connect and transact our logistics, which enable the goods to be delivered from the sellers to the consumers, and JumiaPay, which facilitates payments between the participants on our platform. Consumers use Jumia to buy products across many different categories, like phones, fashion, grocery and they also Jumia to access a number of services; like for example, food delivery. They also use Jumia to pay a number of services like data [Indiscernible] airplane recharge, or utility payments. We like to say that consumers use Jumia to save time and save money. We have achieved significant scale already. We have four million active consumers last year transacting with 81,000 sellers, 90% of the business on market place generating around $1 billion GMV. Our logistics handle 13 million packages, and in our two largest markets, Nigeria and Egypt, more than half of our transactions were processed by JumiaPay in Q4, 2018. We are the leading Pan African e-commerce platform and we see significant long term opportunity to drive the adoption of e-commerce and the shift of the spend from offline to online. On Page eight, you can see our footprint, which is calibrated to address the opportunity with a very diversified exposure. There are 54 countries in Africa, and we have selected 14 countries with a combined population of about 700 million people, 72% of the GDP of Africa, and 77% of the Internet users. We are very focused on this footprint. We believe, we are currently in the right markets and we have no short term plan for geographical expansion. This pan-African footprint is also a huge asset for us, because we are very diversified from a macro perspective as we do not rely on one truancy or one markets, we are very diversified. It also makes us a destination of choice for the sellers, provides us with economies of scale, because we operate a centralized technology and data warehouse. We learn faster, and apply the best practices faster, and we attract and retain talent very effectively because we can provide mobility opportunities across Africa. On page nine, we work with three types of sellers; brands and key accounts, local sellers and cross-border sellers. Sellers love doing business with Jumia because we create a lot of value for them. We bring them a gateway to Africa, they have access to a large and growing consumer base, and we provide a lot of services beyond that. A good recent example is our partnership with Xiaomi. We are opening the Xiaomi official store and our platform offering on an exclusive basis a number of products and this is one illustration amongst many examples of the attractiveness of Jumia as a destination of choice for sellers and brands, providing them access to consumers across Africa with one partnership. Moving on to Page 10, as part of our mission as you know, we are also very focused on creating a sustainable impact in Africa. And one important way, is by creating jobs, and skills. In March, the BCG published this report that you have some screenshot here explaining that online marketplaces had the potential to create three million new jobs across the continent by 2025. The report also explained how online our marketplaces can boost the African economies by expanding the supply of goods, and services making assets more productive, and then locking you demand in remote locations, which will boost consumer spending. We participated in this study by sharing data on sellers and partners with the BCG, to help them conduct their independent analysis and of course this report is very encouraging, because it reinforced our belief about the immense potential of technology and online marketplaces to drive job creation in Africa. And this is something we take extremely seriously, and is a key part of our mission. We have already created more than 5000 jobs directly and even more indirectly with our sellers and partners, and we certainly want to continue. When we look ahead, I am now on page eleven. We see significant opportunity to drive the adoption of e-commerce. In Africa, the penetration of e-commerce is currently less than 1%. In Latin America, it's 2.4%, in America it's about 10% and in China more than 20%. So this mismatch [ph] [Indiscernible] e-commerce opportunity is really ahead of us, and we have deals with Jumia, the platform to successfully drive the opportunity as well as the engine to build something much bigger. Amazon, Alibaba, Mercado Libre started with e-commerce, and leveraged e-commerce to create value in payment and all the businesses. For us, we already have e-commerce and logistics. We already added food delivery. We are now building payment and financial services and in the future there are multiple over segments we could expand to, because we build Jumia as a platform that is capable of doing so much more. Of course right now, we are focused on our core operations with the objective to scale up, generate strong growth while driving monetization, marketing and cost efficiencies, and increase the penetration of JumiaPay. We have very exciting results to talk about for Q1, and let's now review our financial performance. I will move to Page 13. Our strategy is built around four pillars; to grow our GMV, to increase our monetization, to improve our profitability, and to drive the penetration of JumiPay. I can tell you that in Q1 we delivered on the strategy. We grew our GMV by 58%. We increased our Marketplace revenue by 102%. We reduced our operating loss by 356 basis points, and we signed a great partnership with MasterCard, along with a €50 million investment to Jumia that will help us increase the penetration of JumiaPay. Now let me go into more details on the growth and the improvements in each of those pillars. Let's go to page 14. This starts with our GMV growth. Our GMV grew by 58%, on a yearly basis, from €152 million last year to €240 million this year, driven by strong growth of active consumers and spend for active consumer. Active consumers of March, was four point three million versus three million a year ago. And we also saw an increase this quarter in the spend for active consumer. Here as a quick reminder, as a common market practice, we present active consumers the same way we present our GMV, growth of cancellations and returns, and we present active sellers of course when we present it for the entire period. We're very pleased with the strong momentum on the platform, the continued expansion and relevance of our product offering, which drives the consumer adoption and the engagement. On Page 15, you can see how we are able to monetize this value proposition. And here before jumping into the revenues, I would like to make two points. First, as we explained already in the prospectus, the revenue is affected by the shift between the mix, between the GMV we do on the first party basis, and the GMV done on our marketplace by third party sellers. Because of that, we manage our business not on the basis of revenue, but on the basis of GMV and gross profit, because this eliminates the changes of mix between GMV, third party and first party. And maybe allow me here to give you a concrete example. If we were to significantly increase the proportion of first party in our business, you would see a very significant increase in revenue, but this is not what we want. As disclosed in the prospectus, we engage in first party activity in an opportunistic manner, to complement the product assortment. Usually, when we see unmet consumer demand, our goal which we have already achieved in some way is to have the vast majority of our business to take place on Marketplace, and this is why we also focus so much on Marketplace revenue, which you see on this page. The second point is about monetization, not every order turns into revenues, because of cancellation, failed deliveries, returns, and these are normal features of an e-commerce business and expect it to be higher in nascent e-commerce markets, where the majority of the business is still cash on delivery. These transactions represent monetization upside for us today, as we carry the costs, but we carry costs, without booking the corresponding revenue. And we are seeing that transactions process with JumiaPay have a much higher delivery success rate than transaction sets or with cash on delivery, which is also why we are actively focusing on the adoption of online payment. As you can see on the page, our Marketplace revenue more than doubled this quarter, growing at 102% on a yearly basis, while our gross profit margin as a percentage of GMV increased by 88 basis points from 5.6% to 6.5% reflecting the increased monetization rate. As we grow our GMV, we are demonstrating our ability to further monetize our platform. Moving on to page 16, you can see how we generate our Marketplace revenue from diversified monetization streams, which all grew strongly this quarter. Comissions, which are charged to our sellers, grew by 95%. Fulfillment, which our delivery fees charged to consumers, grew by 116%. Value added services which include services around logistics, packaging, content creation grew by 86%. And lastly, marketing and advertising, which include for example performance marketing campaigns, placement of banners grew by 201%. We are very pleased with this diversity, which we think is very healthy. Moving on to Page 17, during the first quarter of 2019 gross profit exceeded Fulfillment expense. In our prospectus, we indicated that we were profitable at gross profit level after the freight and shipping portion of the Fulfillment expense, and now in Q1, we have been profitable after the entire Fulfillment expense. On page 18, you can see our marketing costs and how much we are benefiting from our past investments and brand awareness and our hyper local marketing approach. I would like to remind you of the results of a survey, which was conducted earlier this year, and provides very helpful context for our marketing. Looking at the non-online shoppers, 74% declare knowing Jumia, and 62% declare considering buying on Jumia in the next six to 12 months. So the brand awareness and consideration are very strong. Looking at the online shoppers, 78% said they had bought on Jumia over the last 12 months. So we are a strong destination for online shoppers. Having built this strong awareness and level of service, our marketing is now more focused on adoption and creating strong engagement with the consumers through a wide range of local channels. As a result, we've been able to gain 205 basis points of marketing efficiency in Q1, taking the sales and advertising expense from 7.2% of GMV to 5.1% in Q1, 2019. On page 19, you will see our G&A and Tech expense. Our Tech and Content expense of the percentage of GMV decreased from 3.3% to 2.4% in Q1 and our G&A expense excluding share based compensation expense increased to 9.8% of GMV in part due to non-recurring expenses concomitant with the IPO. Over the same period, the adjusted EBITDA loss as a percentage of GMV improved by 335 basis points, reducing from 19.8 to 16.4 and our operating loss by 356 basis points from minus 22.5 to minus 18.9. So in summary, we believe that we have delivered strong results this quarter on our four pillars. We grew our GMV by 58%, our Marketplace revenue by 102%. We continue to deliver on our path to profitability this quarter in particular on marketing and technology expenses. We also delivered positive gross profit after Fulfillment and last but not the least we have a great partnership with MasterCard to continue to drive the strategic penetration of JumiaPay. So overall, a lot of great momentum in the business. On page 20, looking ahead our near-term focus is to continue scaling up our existing business within our existing markets, and take the company to profitability leveraging the powerful platform. With this in mind for the year 2019, we expect to continue to balance GMV growth in line with historical rates, with a healthy monetization and cost efficiency. Looking ahead, we also see multiple additional opportunities to drive long term growth and value creation. We have so many avenues. In the future, we will expand into new business lines. We will draw into more geographies and we will maximize value creation from our assets logistics, payment, marketing. However, solving for healthy and sustainable growth takes restraint and discipline amidst [ph] with this discipline and focus that we intend to take Jumia from strength to strength, staying true to our values, carrying out our mission, and creating value for our consumers, partners, teams, and shareholders. I'd like to thank you very much for attending today and your attention and we are now ready to take your questions.
Operator: We will now begin the question and answer session. [Operator Instructions] The first question today comes from Mark Mahaney with RBC. Please go.
Mark Mahaney: Great. Thanks. Could you do two things? First, any color you can give us on markets Nigeria and Egypt, your two biggest markets or other ones where you seeing acceleration in growth or notable deceleration and could you – just notable deceleration in growth any markets where you could talk about trends being materially different than what you're reporting overall? And then second could you just address the issue of Jforce and fraud [ph] in Nigeria as an operating risk? And how you tried to hedge that? How you tried to manage that? Thank you very much.
Sacha Poignonnec: Thanks very much Mark, and two very good questions. On the first one, we're seeing very strong momentum and we're seeing quite some uniform momentum across the markets and very much and nothing very different from what we have reported in the past or certainly in the past. In this case we were seeing very very good momentum. And on the second question here I would like to say very upfront that the Jforce agents which are consultants which are part of Jforce get commissions of course on the percentage of their completed transaction after all cancellations and returns. And this is of course key and very normal. We do that. We have even actually introduced penalties as well as extra incentive to drive lower cancellations and returns for the orders which are generated by the Jforce consultant. So for us this is a very innovative marketing channel which helps consumers adopt e-commerce. It's also very useful channel to gather insights on the consumers, in addition to the data we collect online. And it's been a very successful channel which is particularly adapted to the needs of our market.
Mark Mahaney: Okay. Thank you, Sasha.
Operator: The next question comes from Aaron Kessler with Raymond James. Please go ahead.
Aaron Kessler: Great. Thanks guys. Congrats in the first quarter. Couple of questions. Firstly on the Jumia deal, can you talk a little bit about -- do you see more deals like this occurring kind of more I guess what we’ve seen from Tmall [ph] where you set up stores for companies. Additionally if you could just talk maybe the opportunities over that kind of maybe near to intermediate term increased commission rates as well as kind of monetization of the marketing? And then third maybe to address some of the recent concerns around maybe its delivery rates, failed deliveries and cancellations kind of where we're at now on that? Thank you.
Sacha Poignonnec: Thanks very much. On the first question the answer is very much yes. And we're seeing a lot of appetite from sellers which include international brands to start operating and distributing their goods and services in Africa. And they very much see Jumia as a partner of choice. I would say to do that we see a lot of brands also who has now experienced e-commerce in other regions and are very familiar with the development of e-commerce. We have in particular a lot of discussions with sellers who are already present in Africa notably in the FMCG sector, and I think you will see more and more of those partnerships in the future. And I think on the commission and the marketing, I agree with you that for us we like to keep commissions competitors and we as you know have multiple revenue streams on doing expertise on marketing and advertising and working with those brands for us is rather an opportunity to drive more revenues on those streams than necessarily in commission. We would like to partner with them on marketing and advertising and the Jumia Express rather than just increasing commissions. And our goal is to of course grow the commission but together with the business and generate revenues from diversified streams and more value added services and advertising than necessarily the commissions, right. Then on the failed delivery; these are normal features of an e-commerce business and for us we have cancellations, failed deliveries and returns and those are expected to be higher in the nation's e-commerce markets where the majority of the business is still cash on delivery. And for us this actually represents monetization upsides, because today we carry certain costs on those transactions without booking a corresponding revenue, so of course we see the upside there.
Aaron Kessler: Great. Thank you.
Operator: The next question comes from Ralph Schackart with William Blair. Please go ahead.
Ralph Schackart: Good morning, Sasha. A couple of questions on JumiaPay; maybe just sort of frame the opportunity for that service that you provide; little bit more color if you could on the MasterCard investment and how that might further accelerate JumiaPay adoption? And then just little bit more broader on it; do you look at JumiaPay is mainly just a Nigeria and West Africa, and Egyptian opportunity? Or do you eventually think it would be broader across all your geographies? Thank you.
Sacha Poignonnec: Thanks very much, Ralph. Just make notes to make sure I don't forget your questions. And the first question we see two huge benefits of JumiaPay. One is to increase the efficiency of our business because of course JumiaPay is more efficient from a fulfilment perspective than cash on delivery, and we are also seeing that it has some great impact on the consumer behaviour. So the number one is for us to make our business better. Number two is to address two very exciting growth opportunities. The first one of this growth opportunity is to distribute financial services on our marketplace and here this is a very very natural extension of our existing platform. We are connecting sellers and consumers with financial institutions to help the financial institutions distribute their products more effectively. I will give you two examples here. Number one, we have already in four of our markets a vendor lending marketplace where we are providing our data to financial institutions of course on the anonymous basis to help them increase their scoring of [Indiscernible] and then they are distributing loans directly on the Jumia service center. The second example is more recent in Nigeria we introduced a microloan company which now can distribute their microloans directly on Jumia. And those of course they are integrated with JumiaPay, so it creates an opportunity for us to drive a lot of engagement, more GMV and more exciting products and services for both the sellers and the consumers. The second growth opportunity is obviously to become a payment platform and to process payments and today JumiaPay only processors payments for Jumia and in the future we intend to enable JumiaPay to be present in third party platforms, which is of course a very exciting business. And with MasterCard; we have been working with MasterCard for now many years and we've been partnering very well and the payment within already doing a lot. And with MasterCard and I would say, also with the investment we get even closer and with bigger plants we are going to launch new products, new solutions both for the sellers and consumers with the goal to increase the penetration of online payment and the penetration of JumiaPay. So here you can expect to see more commercial offers jointly prepared and rolled out between Jumia and MasterCard across Africa. And on the markets which was your third question. We started JumiaPay in Nigeria and Egypt because of course those two are our largest markets. We recently rolled out JumiaPay in three more markets and we are now driving the adoption in those markets. It's still too early to comment on that and we have given in the past some numbers in Nigeria and Egypt. But certainly we intend to leverage or roll out; I would say JumiaPay to almost all of our markets.
Ralph Schackart: Great. Thank you, Sasha.
Operator: The next question comes from Sarah Simon with Berenberg. Please go ahead.
Sarah Simon: Yes. Hi. I've got a couple of questions as well. First one was on the third party, first party split in terms of GMV. Can you give us any help in understanding how that shifted year-on-year? Second one was Jumia Express. Have you started monetizing that yet or is it still just a cost to you? And then the third one was just a question and this is a bit more boring on the numbers, but on the seasonality of working capital obviously we haven't had quarterly results before. So can you help us with the kind of phasing of inflows and outflows through the year please? Thanks.
Antoine Maillet-Mezeray: Thank you very much. Third party and first parties in Q1 we’ve seen faster growth of the GMV from marketplace than on first party which is good and this is something that we very much want to see. Again here, we really use third party opportunistically, so it may change from quarter-to-quarter and this is again why we very much encourage you to look at the GMV and the gross profits as the matrix [ph] of the momentum because by doing that no matter what -- how much we do in retail on marketplace the GMV remains the same and the gross profit remains the same. So those are the real ways to look at our business and we are -- in Q1 we've done less third party than where we've grown first party slower than the marketplace which has grown faster, which is very good. On Jumia Express we're starting to see some good signs and it's coming together. You can see that we grew the value added services by 86% a quarter year-over-year and we are seeing good times. Again here on Jumia Express, this as a process, right? So for us this is really really about first creating the value for the sellers and then starting to monetize that with time. So, we're seeing good times and it's starting to come together. Now, on the working capital in here on one, please feel free to chip in, but basically you have to look at our working capital very much over a couple days of GMV in terms of receivables, should be a couple days because those receivables come from our logistics partner. Then for the payables, you can see we have about maybe between 20 and 25 days of payables because those are the remittance that we give to the fellows who have done the business on Jumia. And then there can be some changes sometimes in the inventory. If you look at the inventory at the end of Q1, I think we're talking about like three days of GMV or something like that, so, it’s rather small. But sometimes it may be that we do some retail in preparation for a commercial event or something like that. So, we will explain whenever we see some change in inventory. But as you can see we're talking about you know three, four days of GVM, so very very limited. And of course as you know we are we are asset light and so there's very little CapEx here. I hope that that answers your questions.
Sarah Simon: Yes. That's great. Thanks.
Operator: The next question comes from Brian Nowak with Morgan Stanley. Please go ahead.
Brian Nowak: Thanks for taking my questions. I have two. Just the first one, Sasha, I think you mentioned to sort of GMV growth in line with historical rates. Can you talk to us about how you think about buyer growth over the course of the rest of 2019 into 2020 and sort of bigger picture and buyers; 4.3 million buyers after years of work and such a big Tam, what do you think has to really improve to drive faster buyer growth in a bigger buyer base? And then the second one on fulfilment, it looks like fulfilment came in a little bit higher than we expected on a per package or absolute basis. Just talk about some of the puts and takes that went on in the quarter between fulfilment expense and shipping expense that we should think about for the rest of the year? Thanks.
Antoine Maillet-Mezeray: Sure. So look we had 4.3 million consumers over the last 12 months. And this number as drawn by I think 42% or 43% year-on-year and we grew the GMV by 58%. Of course we have to always put that in relationship with the efficiency that we are capturing on the marketing as well as the monetization, right. So we increased our marketing spend by 12% and we drove the marketing or the increase of the consumers by much more than this. We've also seen increase in the spent per consumer. So we're seeing very strong dynamic and we are operating of course with always three components in the equation which is the GMV and the consumer's growth, so the other with the marketing efficiency improvements as well as the monetization that we are driving and those three they come together. So for us when we look ahead and we'll also address your second question we see that we have a lot of consumers who are yet to discover e-commerce and we certainly see that based on the survey and based on what the consumers say, the consumer really considered Jumia and they have a very high level of awareness and we are in the phase where they are still learning and they're still getting educated about the benefits of e-commerce. And in the prospectus we have published a survey where we were asking the non online shoppers why have you never shopped online and some of the reasons were very much around mental barriers or barriers which are not infrastructure driven. They were about I don't know how to shop or I'm not sure about the quality of the products or I'm not sure the products are genuine and those kind of barriers. So we are really working on the education and the marketing investment that we make as you can see is very reasonable in the sense that we are growing it much less faster than GMV and active consumers and we are targeting all those marketing investments and efforts at how do we engage with the consumers to create the trust and the conditions for them to start buying Jumia and star using Jumia for them to be part of their daily lives. Now on fulfilment I agree with you and some of this increase is to some extent related to a slight faster increase of our business which is done on a cross-border basis. And here this is generating slightly higher fortunes, costs on a unit basis but also this is captured I would say in some of the revenue increase. So for example in the revenues you can see that the fulfilment paid by the consumers is growing quite substantially faster than the GMV because we've seen a little bit of uptake in this part of the business. So here we certainly continue to monitor that. We have some good efficiency but of course the mix of the business can influence those expenses depending on the location of the seller, if the seller is in cross-border or in local country depending also on the mix of categories, on the mix of geographies of the consumer. So in this case, in this particular case for Q1 it's mostly the cross-border which has influenced it.
Brian Nowak: Okay. Thanks.
Operator: The next question comes from Andrew Howe with Citi. Please go ahead.
Andrew Howe: Hello Sasha. Thanks a lot for the call. Three ones from me. Firstly on the G&A expense that was I guess €23.5 million excluding SBC. As you mentioned obviously some IPO related expenses in there in Q1 and just wanting to get a sense of how much of that was one-off. And if you saw that normalize for the rest of this year and can you give a little sense of how that might settle with respect to the GMV? Second question, you talk about rolling out JumiaPay into some new countries. And are you seeing any impact on this moving from postpay to prepay. Can you give any color on how fast that evolution is happening and over what scale you expect that to kind of run over the next few quarters? And finally just on the opinion piece from last week. Just curious what your strategy is for responding to something like that. What do you plan on publishing a rebuttal or response which is what some companies have done in similar situations? Thanks a lot.
Antoine Maillet-Mezeray: Thanks Andrew. Appreciate the questions. I think on the first one, G&A, some of the expenses are indeed concomitant with the IPO. There's about €5 million in the G&A that we believe is nonrecurring and we've not taken it out because we just thought that we would tell you that on the call and certainly for us we want to keep the G&A as stable as possible. Obviously, there will be some growth of the G&A relating to the growth of the GMV and the growth of the business. But we still maintain that this is our objective to continue to drive them in a very discipline way.
Sacha Poignonnec: Well thank you very much everyone for this first the earnings release and those good questions. And once again we believe we have delivered very strong results this quarter, very strong growth of our GMV, very strong growth our marketplace for the new progress on the path to profitability and progress on JumiaPay. We see a lot of great momentum in the business. We're very excited about the future and about our prospects and also the positive impact that we can create in Africa. We look forward to reconnecting next quarter with all of you. And as I just said we are available anytime. If there any follow up questions on any topics we are very available. So do not hesitate to reach out and we'll take your questions any time. Now thank you very much for your attention and take care. Bye.
Operator: This conference is now concluded. Thank you for attending today’s…